Operator: Please standby. Well, good afternoon, ladies and gentlemen and thank you for standing by. Welcome to SeaWorld’s Third Quarter 2013 Earnings Conference Call. My name is Kelsey and I will be your conference operator today. At this time, all participants are in a listen-only mode, but after the prepared remarks, the management from SeaWorld will conduct a question-and-answer session and instructions will be given at that time. In addition, today’s conference is being recorded. I will now turn the conference over to Mr. Gene Ballesteros, the company’s Treasurer and Head of Investor Relations. Please go ahead, sir.
Gene Ballesteros: Thanks Kelsey. Good afternoon everyone. And welcome to our third quarter earnings conference call, which is being webcast live. With me today are Jim Atchison, our President and Chief Executive Officer and Jim Heaney, our Chief Financial Officer. On this call, we will review our third quarter 2013 results, which we released today after the market close. If you don’t have a copy, it is available on the Investor Relations portion of our website at seaworldentertainment.com. Replay information for this call can also be found in the press release and will be available on our website following the call. Before we begin, I’d first like to remind everyone that our comments today contain forward-looking statements within the meaning of the Federal Securities Laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different and we undertake no obligation to update such statements. In addition, on the call we may reference certain non-GAAP financial measures, more information regarding our forward-looking statements and reconciliations of non-GAAP financial measures to the most comparable GAAP measures are included in the earnings release and can be found in our filings with the SEC. With that, I’d like to turn the call over to Jim Atchison.
Jim Atchison: Thanks, Gene and thank you to everyone for joining us on our call today. We appreciate your interest in SeaWorld Entertainment. The third quarter is an extremely important period for our company as the summer travel season accounts for a significant portion of our full year revenue and earnings. Given that, I am pleased to announce record results in revenue, per capita spending, adjusted EBITDA, adjusted EBITDA margin and net income. The company generated $538.4 million of revenue in the third quarter of 2013, an increase of 3% over 2012. The 3% revenue growth was driven by 7% increase in total revenue per capita from the ongoing benefits of our pricing and yield management efforts and strong results at our SeaWorld branded parks. The strength of our SeaWorld branded parks was driven by the addition of our new Antarctica Empire of the Penguin attraction at SeaWorld Orlando and our new Aquatica Park in SeaWorld San Diego. Adjusted EBITDA for the third quarter was $254.4 million, an increase of 10% over the third quarter of 2012. Net income during the quarter was $120.2 million, an increase of 30% over the same quarter in 2012. We are pleased with the results through the end of September and remain on track to finish our third straight record year in revenues and earnings with significant free cash flow growth. At the beginning of 2013, we took above run-rate pricing and implemented new yield management strategies that reduced the volume of promotions and the level of promotional discounts. The intent of these initiatives was to increase revenue and operating margins by driving higher quality attendance as we see in Q3. We expect these pricing and yield management efforts to impact per cap and attendance growth through the remainder of 2013 when we finished lapping periods under the prior strategy. In 2014 and beyond, we expect a more normalized mix of revenue with growth coming from both per cap and attendance growth. In addition, you will see us move into more variable and dynamic pricing with the intent of growing revenues by stimulating volume with lower prices in traditionally low demand periods and getting higher pricing in high demand periods. Earlier this year, we introduced enhancements to our e-commerce and mobile platforms, which are helping us grow sales through internal channels. Driving business through these platforms also enables us to offer premium park experiences, up-sells and generate other in-park spending commitments before guests arrive at our parks. We are seeing good results in this area. And the third quarter online admission sales are up 9% over last year, driven by an increase in the number of transactions and average transaction size. Our enhanced desktop and mobile sites also enable us to move toward a more robust execution of our variable pricing model, where we can strategically set pricing and business rules to achieve pre-visit commitments and provide an element of weatherproofing to a large portion of our attendance. The company is also leveraging our brands into media, entertainment and consumer products. While these efforts are currently not a significant portion of our earnings, they increased our global brand presence and generate revenue outside of our parks. The third season premier of our successful television show Sea Rescue aired October 5. Since its debut, Sea Rescue has been the number one Saturday morning show in its timeslot in many major U.S. markets and recently eclipsed the 100 million viewer mark. Following the season’s premiere of Sea Rescue, we debut the Wildlife Docs, our second venture into television programming. The new show centered on the fascinating day-to-day activities at our Animal Care Center at Busch Gardens, Tampa has been well-received drawing more than 5 million viewers since its October 5 premier. We look forward to sharing the stories of the 12,000 animals at Busch Gardens and the talented men and women who care for them throughout The Wildlife Docs’ debut season. We recently announced our 2014 attractions, which include new offerings at nine of our 11 parks. We are very excited to bring a sea of surprises, SeaWorld’s 50th anniversary celebration to all three SeaWorld parks next year. Guests can look forward to new interactive experiences, shows, pathway performances, animal encounters and a surprise squad offering guest prices everyday. At SeaWorld San Diego, construction of Explorer’s Reef is well underway. Explorer’s Reef is an innovative new experience that immerses guests in an undersea realm from the moment they arrive to the park. At Busch Gardens, Tampa, Falcon Fury is taking to the skies and is scheduled for completion next spring. At 335 feet, Falcon Fury will be the tallest freestanding drop tower in North America. Our European themed Busch Gardens Williamsburg Park, guests will experience a new attraction that explores the British music invasion with our all-new production London Rocks. Also opening this spring at Water Country USA is Colossal Curl. This new family thrill slide features tornado, funnel and tantrum wave elements and spans more than 550 feet throughout park’s landscape. In 2014, all three of our Aquatica water parks will get new attractions. Our newest water park, Aquatica San Diego is getting its first new attraction in more than eight years. Taumata Racer, a thrilling high-speed racing waterslide will debut Memorial Day weekend. Aquatica San Antonio will unveil a new 13,500 square foot outdoor aviary located at Loggerhead Beach, this immersive animal experience will allow guests to float, wade or walk among hundreds of tropical birds. The aviary will also feature a guest pool and waterfalls. Yesterday, we announced the addition of Ihu’s Breakaway Falls at Aquatica Orlando. We are excited to bring the tallest water thrill ride of its type to Orlando this spring. And finally at Sesame Place, Cookie’s Monster Land is taking shape and will open in May. The new realm will feature five new family friendly rides a three-storey net climb and a soft play area for the park’s youngest visitors. Before Jim walks us through our third quarter and year-to-date financial performance, I’d like to take a moment to reflect on several developments in our education and conservation programs, which are key components of our company’s culture and mission. In September, our animal rescue team in partnership with the Loggerhead Marine Center returned more than 70 endangered sea turtle hatchlings to Florida waters. Several of the baby turtles received care at SeaWorld Orlando after washing ashore during storms. Also we announced, the non-profit SeaWorld and Busch Gardens Conservation Fund has awarded more than $1.2 million in grants to 93 wildlife projects in the U.S. and around the world. Since its inception 10 years ago, the fund has awarded more than $10 million in grants to projects benefiting wildlife globally. And finally earlier today, we hope that the digital premiere of animal vision, an all-new interactive platform providing 24/7 access into some of SeaWorld’s Animal Habitats. Animal vision allows our guests to deepen their connection with penguins at SeaWorld Orlando’s new Antarctica, a school of stingrays at Aquatica San Antonio or majestic sea turtles at our SeaWorld San Diego Turtle Reef attraction through customized interactive websites at animalvision.com. We will be showcasing additional animal species in the near future, so stay tuned for new additions. As we finished the year look back on 2014, we will continue to create meaningful revenue and free cash flow and focus on growing our globally recognized parks, brands and intellectual property. With that, I’d like to turn the call over to Jim Heaney, our Chief Financial Officer who will provide more details on our financial performance.
Jim Heaney: Thanks Jim and good afternoon everyone. I will go through the quarterly results, cover balance sheet and cash flow items and close with our updated guidance for 2013. For the third quarter, the company generated record revenue $538.4 million, which is an increase of $16.1 million or 3% over the comparable period in 2012. The revenue increase was driven by a 6.9% increase in total revenue per capita from $56.80 in 2012 to $60.74 in 2013, partially offset by a 3.6% decline in attendance. In the quarter, admissions per capita spending increased by 9.1%, while in-park per capita spending increased by 3.5%. Attendance trends improved in the third quarter compared to the second quarter, reversing a negative trend earlier in the year with a 3.6% decline in the third quarter versus a 9.5% decline in the second quarter. This improvement continued into October and November with attendance running flat with prior year levels. Roughly half of the 3.6% decline in the third quarter was expected due to new pricing and yield management strategies implemented at the beginning of 2013 to increase revenue, per capita revenue and operating margin. The remainder of the attendance decline in the third quarter was due to adverse weather in July when we had above average precipitation in all of our markets, including record precipitation in Florida. Weather conditions improved in August and September and our attendance trends improved accordingly. As mentioned earlier we expect our new pricing and yield management strategies to impact the tenants and per capita revenue through the end of 2013. Again in 2014, we are expecting to see more normalized patterns of revenue growth coming from both per capita revenue and attendance growth. Third quarter cost of food, merchandise and other revenue decreased by 7% from $43.5 million in 2012 to $40.4 million in 2013. As a percent of revenue, these costs increased from 8.3% in the third quarter 2012 to 7.5% in 2013. Third quarter operating expense increased from $191.4 million in 2012 to $202.6 million in 2013. The increase was due to expense timing and the additional costs from new attractions. As a percent of revenue, operating expenses increased from 37% in the third quarter of 2012 to 38% in 2013. Third quarter SG&A expense decreased 19% from $58.5 million in 2012 to $47.4 million in 2013. The decrease was primarily a result of the advertising and media spend, timing and the termination of our 2009 Advisory Fee Agreement with Blackstone in the prior quarter. As a percent of revenue SG&A expense decreased from 11% in 2012 to 9% in 2013. A portion of the timing benefit in advertising and media spend will reverse in the fourth quarter although most of the other side of the timing variance occurred in the second quarter. For the full year we expect SG&A expense to be up low-single digits percentage point over 2012. Third quarter adjusted EBITDA, a non-GAAP measure defined and reconciled in our earnings release increased by 10% from $231.6 million in 2012 to $254.4 million in 2013. This improvement was driven by an increase in revenues and that’s 300 basis point increase in margin from 44% in the third quarter of 2012 to 47% in 2013. Third quarter depreciation and amortization expense decreased by 5% from $44.7 million in 2012 to $42.3 million in 2013, the decrease was due to the impact of fully depreciated assets, partially offset by the impact of new asset additions. Third quarter interest expense decreased by $8.5 million or 29% from $29.5 million in 2012 to $21 million in 2013, the decrease was the result of $177 million pay down on our senior notes and credit facility with the net proceeds from our IPO and Amendment 5 of our credit facility that lowered interest rate and extended the maturity date out to May 2020. Third quarter net income increased by 30% from $92.3 million in 2012 to $120.2 million in 2013, net income increased due to the increased operational earnings, lower interest expense and a lower tax provision rate. Free cash flow increased by $18.3 million or 15% from $122.4 million in 2012 to $140.8 million in 2013 due to increased cash flow from operations and lower capital expenditures. As the end of the quarter, the company had $210.5 million of cash and cash equivalents with no amount outstanding on our revolving credit facility. Total long-term debt, including current maturities and discounts was $1.661 billion, which equates to a 3.3 times net leverage ratio at the end of the quarter. This brings me to an update of our guidance for the full year of 2013. The following estimates are based on current management expectations. Please refer to the discussion of forward-looking statements on our earnings release and related SEC filings. For 2013, we are increasing our adjusted EBITDA guidance to $432 million to $442 million and narrowing our revenue guidance from $1.452 billion to $1.462 billion. We plan to establish guidance for 2014 on the upcoming fourth quarter earnings call. With that I will turn the call back to Jim Atchison.
Jim Atchison: Thank you, Jim. Before we close, I would like to once again thank you all for your interest in our company. I would also like to take a moment to welcome Deborah Thomas, Executive Vice President and Chief Financial Officer of Hasbro to our Board of Directors. Deborah brings with her an abundance of corporate finance and governance expertise along with being a leader at a company that shares many of SeaWorld’s core values. Welcome Deborah to SeaWorld family. At this time Kelsey we would like to open the line up for questions.
Operator: (Operator Instructions) We will go first Bryan Goldberg with Bank of America-Merrill Lynch.
Bryan Goldberg - Bank of America-Merrill Lynch: Hi, thanks. Just a couple of ones, you mentioned you are expecting more normalized mix of rate and volume in 2014. I was just wondering could you help us think about some of puts and takes next year. You mentioned you would be lapping the price increases, but how should we think about the Easter comp, weather comps, the impact of so many new attractions across the company. And then I guess the timing of any – unusual timing of any major holidays like July 4?
Jim Atchison: Hi Bryan, this is Jim Atchison. I will start the answering that question and then I will ask Jim Heaney to chime in as well. Certainly you outlined some of the issues that we deal with of course in this business and that relates to timing of holidays and certainly weather impact and our new attraction lineups and those are always different to each year. Probably the most notable of the holiday kind of lineups is that Easter shifts from Q1 to Q2 next year, so that will have an impact obviously on the business as you will see more of the related volume from the Easter and potentially spring break traffic shifting out of Q1 into Q2. So you we would probably look for that. With respect to weather we’ve had a challenging year for weather in particular in our Florida market, where we have quite a bit of geographic concentration. The summer months were awfully raining for us, but we saw coming out of the difficult rainy season we had in June and July we saw continued improvement each successive months. And we are kind of lapping and we will pass that now. I will ask Jim to comment a little bit on some of our revenue strategies for next year and kind of how we see the mix both of per capita and volume kind of blending out.
Jim Heaney: Yes, thanks Jim. Yes, going into 2014 as we mentioned earlier, we expect to see a more normalized mix of revenue growth that’s coming from attendance growth and per cap growth. If you peel that part a little bit farther, we would expect roughly a third of our revenue growth next year to be from attendance and then two-thirds of per capita growth coming equally from pricing increases and then also yield management.
Bryan Goldberg - Bank of America-Merrill Lynch: Okay, thanks. And then I have another one, your revised guidance for 2013 if I am doing the math right it implies maybe a little bit of margin compression in the fourth quarter year-over-year just using the midpoints of your ranges. And I was wondering is there something unique operationally that’s going to be occurring in the December quarter to cause the compression like a shift in marketing dollars or was last year abnormally elevated or any color on that dynamic would be great?
Jim Heaney: If you look at the – if you do the math and what indicates for Q4 what’s going on there at the midpoint we have a small EBITDA decline largely based on the sales and marketing spend. As I mentioned earlier in my comments sales and marketing spend shifted spending out of three mostly into Q2 but a portion of that did end up in Q4, so we have a slightly above run rate expense growth number in that Q4 largely based on the strides in sales and marketing.
Bryan Goldberg - Bank of America-Merrill Lynch: Thanks jut finally you mentioned your leverage is at 3.3 times or it was end of the quarter, could you just remind us what your comfort level is where it no longer makes sense for you to de-lever from a target leverage standpoint and what your priority uses of the excess capacity would be once you hit that level?
Jim Atchison: Yes, I’ll start out and let Jim talk about the use of our free cash flow. As you heard earlier, we are at about 3.3 times. Our cash seasonally peaks in Q3 that will drop down slightly in Q4 and Q1. The range of our leverage at our current credit structure would be around 3.3 to 3.5 throughout the year. And we are comfortable in that area. The next logical step down in our leverage ratio is 3.25, where we get a 25 basis point rate reduction on a credit facility, but we are not really going to stress together to get there. We may get there naturally, but at this point, what we feel pretty comfortable with our current leverage ratio.
Jim Heaney: And with respect to uses of our cash flow, Bryan as you as you probably note and see we are generating a lot of free cash flow and that’s been our plan as we have communicated all along and we feel good about the pace that we are on. We do as a board we do talk regularly about opportunities to deploy that cash flow to benefit all of our investors. So we look at options every time we meet, every time we talk. So we don’t have any definitive plans to announce at this point, but it’s something that’s always a high priority in an important discussion.
Bryan Goldberg - Bank of America-Merrill Lynch: Thanks a lot.
Operator: Moving on to Tim Nollen with Macquarie.
Tim Nollen - Macquarie: Hi, thanks. I just was curious if you could give us any idea of what the Antarctica opening might have contributed to your revenues? And actually move behind the question as you mentioned a lot of new initiatives for 2014 I don’t think any of them are quite as big as Antarctica from the sound of it, but it’s the several different things. Just wonder if you can give us an idea what kind of incremental growth you can expect from those?
Jim Atchison: Sure. This is Jim Atchison, Tim. I will owe into that. We were thrilled – we are thrilled with the performance of our Antarctica attraction and I have been in our business nearly three decades and it’s refreshing when you see a new attraction that, that really resonated so well that it did what you wanted us to do exactly how you hoped it would perform and we see all of that with Antarctica. Our SeaWorld Orlando Park is our leading performer throughout the year. We are having a record year at that park. The response to Antarctica has been fantastic. So we are very pleased with the results that we have been able to drive through this new attraction. And be in Orlando, we benefit from this for some time to come. I will lead into your next – your follow-on question, because the Orlando market, for example, turns over with such frequency that this attraction will remain new for a longer period of time than say in one of our regional parks. So we feel very good about the attraction, what it’s done and the performance that’s driving for us. When you look ahead to 2014, we have attractions at nine of our 11 parks and you are right, they aren’t of the size of the Antarctica, but that recipe we have used before and it’s a bit tried-and-true. We have something to talk about everywhere. So it seems and really a great mix and line up throughout. So we feel very good about the offerings we have. There is something new in each of the markets, every one of our park markets. So we have got a great lineup and it’s a mix and very blend. There is some advantages to that over a concentrated year like we have this year in Florida and as much as we tend to spread the rest a little bit better with regards to weather another thing. So the fact that we have got something talk about in all of our key markets makes us a little less dependent on one market having good timing and delivery. So we feel very, very good about the plan for next year. It’s a little bit more of traditional one for us perhaps.
Tim Nollen - Macquarie: Okay, that’s helpful. No numbers we can assign to Antarctica or anything upcoming though that you are willing to put out there?
Jim Atchison: No, we don’t detail out individual attraction performance, but unfortunately I can’t do that, but suffice to say we are delighted with the performance of it and surely driving record performance at our flagship park.
Tim Nollen - Macquarie: And at least you can say Antarctica, you think has driven attendance increase at least in Orlando, yes?
Jim Atchison: Well, we are pleased with the attendance we are getting throughout it. We don’t detail out any of our specific park attendance, but we are having a terrific year in Orlando as a result of this attraction.
Tim Nollen - Macquarie: Okay, alright great. Thanks.
Operator: Moving on to Tim Conder with Wells Fargo Securities.
Tim Conder - Wells Fargo Securities: Thank you. Jim, staying on the new attractions, one of your competitors in the Orlando market is introducing a major new ride next year can you remind us how this can benefit the region and then how the timing of that can have implications on yourselves and also other operators in the market?
Jim Atchison: Sure. Sure, Tim. Yes, it’s one of the interesting dynamics about the Orlando marketplace. Orlando is a little bit of the Wall Street of the theme park world. So the fact that there is other operators in town, sophisticated operators who invest in the business, there was smartly, is actually a benefit to all of us. And so when we see attractions like even Transformers this year, Fantasyland this year at Disney or Harry Potter 2 as you are alluding to. That’s actually a benefit for the whole destination. It gives – it tends to provide more lift, brings more people to the market as who are in town, then they can pick and choose the parks they go to. So it tends to help rise all the ships, if you will, raise all the ships if you will. So there are certain benefits to having a competition and we feel that’s something we have endured and have dealt with for many years and have a lot of history behind evaluating. And we think that the destination is only going to continue to grow as it has this year.
Tim Conder - Wells Fargo Securities: Okay, okay. And then Jim Heaney maybe a little bit more color, you said ‘14 will sort of be the first year of a – sort of under the new approach you are taking with implementing a broader, more dynamic pricing here and you kind of gave us some framework for ‘14 in particular. Going forward, would you anticipate that revenues, Jim, would be more similar to what you outlined, a third attendance and then a third through both pricing and both yield management techniques? And should we think somewhat in that mid single-digits total revenue growth framework?
Jim Heaney: Sure. Yes, if you look backwards, yes, we have traditionally gotten about half of our revenue growth from attendance and half from per cap growth that in 2013 we have gotten all of our revenue growth through pricing in per cap growth. Going forward in the ‘14 and beyond, no year – every year just look the same, but I think over ‘14 ‘15 that a third, a third, a third profile with Ultrabook 14 and 15. As you know, we get better revenue flow through and margin flow through when we can drive per cap growth versus attendance growth sort of kind push that mix up to at least two-thirds from per cap growth versus the attendance. And that’s our goal for ‘14 and long-term that’s the mix that I think we can achieve although it will be certain years that look a little different.
Tim Conder - Wells Fargo Securities: Okay. And then along that, Jim just to extend that a little bit more, you said you are getting that flow through, what type of a range if you can give us anything looking at here over the next two, three years would you anticipate that type of flow through from the revenue?
Jim Atchison: Well, if you look at our guidance for this year at the midpoint, it would infer a 66% flow through on our revenue growth, but again this year, it was all price growth as far as our revenue growth drivers. Going into 2014, I expect something little bit more muted from that, our minimum target is 50% flow through on our revenue growth.
Tim Conder - Wells Fargo Securities: Okay, okay. And then lastly, back to the capital deployment, Jim Atchison, you said the board is looking at multiple things nothing yet to announce, would it be within the realm of reason that potentially we could see something from a new park venue whether that’s solely SeaWorld or with a partner domestically, internationally over the next 12 to 24 months?
Jim Atchison: I don’t say, you are afraid, Tim. I don’t think that’s outside of the realm of possibilities at all. We have put quite a bit of work into a handful of development initiatives and feel very good about the progress that we are making and the pace they are moving along. We have really terrific brands that are expendable in various ways and both domestically and internationally. And so we continue to work hard on these initiatives and I think we will find some great opportunities over the not-too-distant future.
Tim Conder - Wells Fargo Securities: And if I may one last thing is covering Hasbro and knowing Deb Thomas over there, they have a little license related to a property called Sesame Street, obviously, you have something there. What potentially can you see some things that – could there be some opportunities for the companies to work together going forward, especially as you are pushing to further consumer products here?
Jim Atchison: Well, I think look one of the – there is a number of reasons we are excited to have Deb joining our Board. She is a dynamic professional who brings wealth of experience to – from her finance background, the governance background and so forth. She is also affiliated with the world’s premier toy company and one of the major consumer products company in that regard. So we already have had some relationships with her over years, but nothing of any notable scale. So we would look to pursue opportunities that make sense but we are not leaning on Deb to that. We think as those opportunities make sense they will find their way to them or they will find their way to us. But being – having Deb join our team and having by extension the relationship with Hasbro something we are very excited about.
Tim Conder - Wells Fargo Securities: Great, thank you Jim.
Operator: Scott Hamann with KeyBanc has the next question.
Scott Hamann - KeyBanc: Yes, thanks. Good afternoon everyone, just in terms of the dynamic pricing stuff that you have kind of dipped your toe in the water on this year can you kind of give us maybe an update or just some general observations from that test you had done with $50 ticket and some of the benefits that you started to see and how we should kind of expect still way to look at the further into the water if you will and in 2014 with some of these initiatives?
Jim Atchison: Sure, yes as we have talked about before we were – we have been really excited and encouraged by the results of our $50 ticket offer for those of you who aren’t as familiar with this that was an offer that we began offering in our Orlando and Tampa Parks beginning in September or actually that’s mid-August. That was the $50 offer that had to pre-purchased and guests use those tickets during the week, Monday through Friday. And we are trying to achieve a couple things. One is to drive volume. The visitation patterns at a theme park is obviously weighted to the weekend and there is a lot of operational efficiencies and guest experienced benefit that you can smooth that and spread the attendance more evenly across the week. And the exciting part of this ticket offer is we saw people are willing to move off the weekend and visit during the week based on price. And we are also seeing the distribution of visitation during the week was fairly even Monday through Friday which was also interesting, but we have got, we got really nice volume of this ticket and effective discount on the ticket was at or even less than what we (indiscernible) offer in off peak period. So I think there is some confusion about that. And then lastly it’s an efficient ticket both from the standpoint of the vast majority are sold online and the people buy them in advance so you get that element of weatherproofing with the purchase as well.
Scott Hamann - KeyBanc: Okay thanks. I just got a follow-up on I mean on that thought I guess you mentioned online sales in the third quarter were pretty strong and I am assuming this business maybe playing into that. Can you kind of give us an update on where you are online direct as a percentage of your sales and kind of look the opportunity as to see it is there?
Jim Atchison: Yes I will comment that Scott. This is an areas we have put a lot of investment and a lot of focus in over the last few years and we have been migrating more and more of our business to our of our e-commerce platform. So we feel very good about that migration that transition as it’s gone. And do we have further to go, yes perhaps we do. Our online business is about 36%. And if you look on a year-to-date basis of our total mix so that that has continued to migrate and move over time and it continues to move up. So do we also are balancing how much of the business we want to go through the trade. And for that matter you can direct to our call centers or front gate, but our online business, particularly through mobile is where we are seeing some terrific results. And the success there helps us just enormously with the up-sells and add-ons of our in-park experiences and other ways to make a more – for a rich day for our guests. So it’s a great fit on a number of fronts.
Scott Hamann - KeyBanc: Alright thanks a lot guys.
Operator: We now hear from Amanda Bryant with Barclays.
Amanda Bryant - Barclays: Great, thank you. Can you tell us what your promotional calendar looks like over the next couple of quarter and maybe how that compares to the prior year programs? And then just as a quick follow-on to that will your portfolio-wide Christmas offerings this year reflect an extension in terms of operating days this year versus last year or will all the parks be on the Christian calendar? Thank you.
Jim Atchison: Sure Amanda this is Jim Atchison. In terms of the kind of view and look of our promotional calendar we don’t’ see sales specific promotions ahead of time. But what I'll tell you is we had a more measured, thoughtful approach to the promotional tender of our offers throughout the year. So we send to really have as we have done through this year the drive towards having fewer offers but more meaningful ones, ones that are differentiated, ones that kind of aligned with the pricing strategy and focus on the driving more revenue. So that’s something that we will continue to do probably fewer offers, more targeted, more unique in nature and that’s something that you will see not just for the next quarter but it’s really going to be a big part of focus for next year. So then with regard to Christmas, our Christmas programs we are very excited about that we have lined up for this year, we launched the new program in Tampa last year, our Tampa park and this will be the second year of it. It was quite a success last year, we have expanded it a bit this year to your point. Our Williams Park Christmas program is also very strong. And really the offerings we have in all of our parks is really quite strong. So we feel very good about the Christmas plans we have in place and the calendar that’s aligned for them for the months ahead. So it’s – they are quite strong. I didn’t mention I forgot to mention our Sesame Place Park in Langhorne would also have a very furry Christmas, which we launched a couple years ago and is really taken off, so we feel very good about that as well.
Amanda Bryant - Barclays: Thank you.
Operator: Our next question comes from Steven Kent with Goldman Sachs.
Steven Kent - Goldman Sachs: Hi a couple of questions. First I guess I just want to understand the weather issues a little bit more. The reason I say that is because we haven’t heard weather issues as much from some of the other amusement park companies and then even the entertainment companies seem to be able to do okay. So is there something unique to the SeaWorld customer or to your product that you seem to be affected more by weather than maybe some of the other companies?
Jim Atchison: Yes, Steve that’s a good question because there is other, obviously others in the space. And there are few things about us that might make – might differentiate a little bit. For one as a company with us having five parks in Florida we have a bit of geographic concentration in Florida that’s rather significant versus say the regional comps that you might look at. And then versus say a Disney or some of the as you pointed out the – some of the other entertainment companies, they really have a lot more to their offering that involves lodging. And so in the – on the circumstance that you might have bad weather they have already perhaps pre-committed does is it because their tickets and so forth might be and are tying with their lodging commitments which were made months in advance. So those are a couple of differences that can affect us in a significant way. So if you look at our July attendance, as we put in the release being down to 5.7%, that’s pretty significant number. But then you see as the weather improved in August and September that improved to 1.8% and that we are running flat to the prior year. So the weather impact is significant. If we have had July that was more like our August and September numbers we would have picked up about $10 million in additional revenue that would have made a pretty meaningful impact on our revenue growth for the quarter. So we do have a bit of weather concentration and perhaps compared to say a Disney who has lodging his component and other offerings that might help lockup visits earlier than the visits are for.
Steven Kent - Goldman Sachs: Okay thanks.
Jim Heaney: Steve, this is Jim. I will also add that at our Busch Gardens Tampa Park, they have a much higher percentage of their attendance coming from past others. Although from a weather standpoint, they tend to be a lot more sensitive to weather and dropout quicker. It doesn’t apply as much to Orlando Park, but Tampa is much more simple in the weather, because of the high pass base.
Steven Kent - Goldman Sachs: And since we are just we do cover some of the other names. On the promotions or keeping the pricing versus attendance versus the per cap smoothing that out again is there something unique to your company versus some of the other companies who smooth this out a little bit more or is it you are experimenting which isn’t a bad thing especially early on in these pricing strategies and that’s why there is a little bit more volatility in pricing versus volumes issues?
Jim Atchison: Yes. I think coming into this year, we have made decision to make some moves in pricing handy of management, so we took above run rate pricing coming into the year and implemented some new deal management strategies that we knew we would lose attendance on and we did and largely the results came in as expected. We made these moves before becoming a public company and may have not made such a dramatic move knowing that we are going to be a public company, because it is somewhat of a jarring effect, but with attendance and per cap growth, so we may have transitioned it over a longer period of time, but we feel really good about the results we are seeing. And I think you will see the results really start to payoff in 2014 and beyond where you setup higher per cap base and then grow attendance off of that as well.
Steven Kent - Goldman Sachs: Okay, thank you.
Operator: Moving on to Afua Ahwoi with Goldman Sachs.
Afua Ahwoi - Goldman Sachs: Thank you. Two questions from me. On the operating expense line, that’s a little surprise that we didn’t see as much leverage, in fact, we didn’t see leverage on that given that pricing was very strong and that should all flow through to that line. I understand there was timing, expense timing that you highlighted, but maybe you could talk a little bit more about that? And then as we think about next year, your advertising spending around your 50th anniversary, I think this year advertising has been quite lumpy in terms of the quarters at fall, so how should we think about that for next year? Thanks.
Jim Atchison: Okay. Well, on the second item, in general you should see our sales and marketing spend more closely track attendance. It will be higher during the summer and maybe a little bit lower in the silver period. The 50th anniversary spending will increase our sales and marketing spending slightly, but not to a level where I think it would be very noticeable. Now, the operating expense as a percentage of revenue that, that was as you mentioned as we pointed out earlier, some of that was mostly of the timing of spending some maintenance work. And then we also had the incremental cost from the new Aquatica water parks on top of that and then the cost from the new attractions in Antarctica. So it’s really the three factors combined. If you look at the full year run rate leverage if we are getting our operating expense, it’s very good and we are getting nice margin lift, if you look at the full year numbers.
Afua Ahwoi - Goldman Sachs: Okay, thank you.
Operator: And our next question will come from Alexia Quadrani with JPMorgan.
Alexia Quadrani - JPMorgan: Hi, thank you. Just staying on your commentary on pricing, can you give us a sense of I guess how much room you feel that you have in general in terms of lifting price? I know some of your competitors have been pretty aggressive on the pricing side, particularly in the Orlando area, just trying to get a sense if you can give some color about how much room you may have and if that differs dramatically, maybe by type of park or by geographic location maybe in some places you feel the ceiling is a bit higher?
Jim Atchison: Sure. Alexia, this is Jim Atchison. The work we put in on pricing through this year we feel good about and the results were getting when you look at our admissions per capita up 9.1% in this quarter alone that’s something that’s encouraging from the results we are getting. So how much more room there is well, that kind of depends on the park and kind of the dynamics that we have. We do feel that we have made – taken a number of actions that we feel good about for the year or so. I don’t know that we have any further dramatic changes to propose or introduce for next year, if you will. One of the things that when we look at pricing, we try to separate it a little bit by the local and nearby market and then the tourist market. And on the local and nearby side, we are really focused on our loyalty products or annual pass products and so forth. And if you go back to 1996, we created and introduced Easy Pay as a monthly means to secure past purchases. And so we have had over 15 years experience in that. And we think we can tweak that offering a bit more. And then on the tourist side, we priced to the opportunities that we see and we are really about bundling our parks together and selling more than one park in our experiences. So we think we have done some good works here on own e-commerce and on our yield management efforts, but we will have a little bit more of a traditional approach towards next year since we will be lapping so many of these efforts from this year.
Alexia Quadrani - JPMorgan: And then on – I know we discussed sort of the oddities of some of the timing of the holidays next year like Easter being so late in April. Is there anything peculiar at all about the December quarter, Thanksgiving being a little late maybe what the days Christmas or New Years falls on or is it more of a kind of business as usual for the fourth quarter?
Jim Heaney: Well, it’s the biggest nuance which you are identified is there. Thanksgiving is a week later than normal. I think there is six less days between Thanks and Christmas this year. Our park teams adjust our operation for that through starting Christmas earlier in some areas, you probably see that when you are out shopping, lot of stores are doing that as well, then also running Christmas during the week more so than they have done in prior years. So we have adjusted to that that nuance beyond that. There is really nothing unusual in the quarter.
Jim Atchison: Yes. The only other thing I would add Alexia is that with Christmas falling on a Wednesday this year when people kind of wrap up their travel plans to illustrate if Christmas has fallen on a Monday, for example, then that we might see a longer week of that last week of your holiday period, but falling on a Wednesday, people could wrap up their plans by Saturday, 28 and Sunday, 29 or something like that. So those last couple of days could be impacted a bit, but those that would affect obviously are Florida parks, but those last many days of the year are significant to the quarter for us. So – and earlier in the week, Easter is nice, but it moves with the calendar and we kind of take that as it comes.
Alexia Quadrani - JPMorgan: Okay. And just a last question, I guess any update in terms of timing for maybe a potential dividend hike? A lot of your – I think your competitors recently raised their dividend, just want to see if any new thoughts on that?
Jim Atchison: That’s something we look at that ways to return value to our shareholders with great frequencies you can imagine. And we – our board has had discussions rather than a variety of opportunities to do so. And as we pointed out, we are generating a lot of cash as well. We don’t have any anything imminent to announce in that respect. So I can’t add more color on that other than our – the dividend that we have, we are happy to have about, that our yield has been around 2.5, 2.7 somewhere thereabouts. So it’s something we look at from time-to-time and we will again soon.
Alexia Quadrani - JPMorgan: Okay, thank you very much.
Operator: We will now hear from Robert Fishman with MoffettNathanson.
Robert Fishman - MoffettNathanson: Yes, hi guys. Thank you. One question on the operating cost, can you just help us think about the flexibility you have on the operating expenses to dial it up or down in the quarter or if you can characterize how much is variable versus fixed there?
Jim Atchison: Robert, I will add some comments on that. The business does have some operating levers to it in terms of how you manage the guest experience and provide a great experience. And that’s always our top priority and that’s what we focus on. But having said that, there is nuances of how you schedule the park hours, the operating hours of specific attractions, how you can move guests around the park. Our SeaWorld parks, for example, have some distinct advantages, because we are so show driven. So by arrangements of the show schedules, you can kind of help manage the crowd throughout the park a little better than say in one of our Busch Gardens parks. So there are some real advantages there. We do have obviously a variable and fixed component of our cost structure. In aggregate, we probably have more fixed cost than variables, but that’s one of the things, that’s there is some inherent efficiency implied without having focusing on more profitable guests. And we get some efficiency out of that. So it’s a lot about the nuances of managing our labor mix is probably the biggest piece and then some of the operating expenses related to attraction in operating times.
Robert Fishman - MoffettNathanson: Okay, great. Okay, great. And maybe if I could just give you an opportunity to address, any potential impacts on your business from the OSHA ruling that I believe you are currently appealing?
Jim Atchison: The OSHA appeal that we filed is it was the DC Court of Appeals and we remained very confident in our case. And as we have said all along, the greatest priority for us is the safety of our employees and guests. And we continue to differ with OSHA on the merits of the state, but we feel very strong about our position and good about the arguments that we have made. So I can’t offer anymore comment on it than that though.
Robert Fishman - MoffettNathanson: Okay, thanks a lot guys.
Operator: We have no further questions at this time. Mr. Atchison, I will turn the conference back to you for closing or additional remarks.
Jim Atchison: Great, great. Well, thanks Kelsey and thank you everyone. Before final closing, I’d like to thank all of our team members for continuing to deliver personal, interactive and educational experiences to each of our guests. We operate 11 of the most beautiful well-maintained parks in the world and our employees are truly the best in the business. And we are very proud of what we do and how we get it done. So, we thank you all for participating today and I will turn it back to you Kelsey.